Martin Sorrell: So, good afternoon London time. It's evening where I am. And I think it's early morning where Henry is. So I'm joined by -- this is the 2024 Results for S4 Capital. I'm joined by Mary -- Mary Basterfield; Scott Spirit; and Jean-Benoit Bertie in London. Henry Cowling in San Francisco, and yours truly in Beijing. So we did -- early did a presentation to our European colleagues and had a fair number on then. I think we're now aiming at our American colleagues. So with that as background, let's just kick off as Mary will take us through the results and then Scott will talk about our business momentum and JB, Jean-Benoit will talk about what we are doing in terms of improving pricing, profitability generally and through billability and utilization. And then Henry will look at review what we've been doing in artificial intelligence, means some recent developments of some consequence, and then finally come back with a general summary and outlook and then we'll take Q&A. So with that, over to you Mary.
Mary Basterfield: Thank you Martin. Hello, and thank you for joining us today. I'll start with the financial headlines. Our performance in 2024 was impacted by challenging macroeconomic conditions, continued high interest rates and some underperformance compared to our markets. Net revenue was GBP755 million, down 11% on a like-for-like basis. Operational EBITDA was in line with expectations at GBP88 million. We made significant cost reductions to deliver an operational EBITDA margin of 11.6%, up 120 basis points like-for-like. EBITDA improved as these cost reductions took effect and we delivered GBP58 million in the second half compared to GBP30 million in the first. Adjusted operating profit was GBP78 million and adjusted earnings per share were 5.2 pence. We finished the year with net debt of GBP143 million below our target range reflecting our focus on working capital management and tight cost control. Leverage was 1.6 times. The board is proposing a first dividend of 1 pence per share. Moving now to the income statement. In challenging market conditions, revenue decreased 16% on a reported basis to GBP848 million and like-for-like was down 14%. Reported net revenue of GBP755 million was down 14% or 11% like-for-like. This reflects lower spending from technology clients, as well as a reduction from one of our larger relationships in our technology services practice. We reduced operating expenses by 14% and the number of monks was about 7,150 at year-end, down 7% on December 2023. Operational EBITDA of GBP88 million was down 6% on a reported basis or broadly flat like-for-like and operational EBITDA margin of 11.6% improved 90 basis points reported, or 120 like-for-like. We recorded an impairment charge of GBP280 million after tax, reflecting trading conditions in the second half of 2024, and a revised medium term outlook after completion of our budget and three-year planning process. I've given you a breakdown of the adjusting items in the table on the left hand side. The impairment charge, which mainly relates to goodwill, is included within amortization and impairment. Acquisition, restructuring and other expenses were GBP29 million. This includes GBP19 million for restructuring, which has driven significant cost reductions, GBP5 million of lease impairments from our property rationalization, and GBP4 million for the implementation of our global finance system. Finally, net finance expense, which mainly relates to our term loan, decreased due to a benefit from foreign exchange compared to a charge in the prior year. Looking next at our three different practice areas: content; data and digital media; and technology services. My comments here are all on a like-for-like basis. Net revenue in our largest practice, content, was down 7% with ongoing caution and lower activity from some of our larger technology clients who are prioritizing investment in AI over operating expenses, such as marketing. We continue to focus on reinvigorating growth and Scott will talk more about this later. Data and digital media net revenue was down 4% with growth in the performance business, but lower net revenues from data and CRM. Overall, the practice grew in the final quarter. Net revenue in technology services was down 35%. This was due to lower revenue from one key client, as expected, as well as longer sales cycles for new business, reflecting the macroeconomic climate. We have hired an experienced sales leader to drive growth in this practice. From a regional perspective, the Americas, which includes technology services, was down 12% and accounts for 78% of the mix. EMEA decreased 5% and Asia Pacific declined 13%. Moving to EBITDA by practice on the next slide. Again, my comments are on a like-for-like basis. In content, operational EBITDA grew 31% to GBP49 million, despite lower net revenues due to our action on costs. Operational EBITDA margin improved 290 basis points to 10.2%. We continue to focus on utilization and billability to further improve efficiency and margin. Data and digital media recorded a significant improvement in profitability despite a slight decline in net revenue, as it managed costs in line with activity. Operational EBITDA was up 43% at GBP46 million and margin increased from 16.2% to 23.9%. Technology services was impacted by anticipated lower revenues. Operational EBITDA of GBP12 million was down from GBP43 million in the prior year at a margin of 13.3%. Central costs were down 16% year-on-year, reflecting tight cost control. Moving to the next slide, you can see that we continue to maintain a strong balance sheet with sufficient liquidity and long-dated maturities to facilitate growth. Our GBP100 million revolving credit facility, which remains undrawn, matures in August 2026. And we have recently completed an extension for GBP80 million of this to February 2028 on the same terms. Our EUR375 million term loan matures in August 2028. We currently have comfortable headroom against the key covenant. Moving to cash flow on the next slide. CapEx of GBP8 million is mainly investment in IT infrastructure. Interest paid includes the cost of our term loan, while lower tax paid reflects our performance in 2023. Restructuring and other one-off expenses include GBP16 million of restructuring payments, mainly related to people, and around GBP4 million of spend on our global finance system. There was a working capital inflow of GBP15 million supported by our focus on improving working capital. Free cash flow was GBP38 million, up from GBP14 million in 2023. The cash spend on combinations was GBP10 million, and this takes net debt to GBP 143 million, below our target range, with leverage at 1.6 times. Turning to guidance for 2025. Given the combination of market uncertainty and technology clients prioritizing AI related capital expenditure, we expect net revenue and operational EBITDA to be broadly similar to 2024. Comparators for the first quarter are expected to remain difficult, in part due to the residual effect of the reduction in revenue from one client in technology services. However, we anticipate an improved performance in the second half, supported by phasing of revenue from new business. Given the uncertain market outlook, we continue to focus on managing our cost base, utilisation and billability, and we'll take further action to support profitability. We anticipate a net finance cash charge of about GBP27 million and a tax rate of 30% to 32%. Our expectations for net debt at year-end are in the range of GBP100 million to GBP140 million. We continue to focus on cash management and our medium term target for leverage moves to 1.5 times at the bottom of our previous range. As usual we have included information on weighted average share count and adjusting items in the appendix and we are happy to take any questions on these at your convenience. So in summary, we expect clients to remain cautious in 2025. We are targeting a broadly similar level of performance as 2024. And we continue our disciplined approach to cost management and operational efficiency. Medium term prospects remain good. And with that, I will hand over to Scott for the strategy and client update.
Scott Spirit: Thank you very much, Mary. Good afternoon, everybody and thank you very much for joining the meeting today. I'm going to cover S4's strategy and history, including some of the recent challenges we've seen and the measures we're taking to put the company back on a sustainable growth path. JB is going to take you through our focus on margin improvement. We'll also cover some of the strengths and differentiators we feel put us in a strong competitive position today and we'll take you through some cases to illustrate the work we're doing for our clients. Wes is with clients today, so Henry will then take you through the section he's prepared on our latest developments in artificial intelligence. So looking back, we founded S4 in 2018 with the ambition to become a disruptive force in the marketing communications industry. We launched with four core strategic pillars. We would focus on digital marketing services as this is the growth area, which at the time, was 50% of spend, but now is well over 70% today. We would have a data driven approach offering clients integrated services across content, data, digital media and technology services. We would go to market as faster, being more agile and responsive, better -- a better understanding of the tech platforms, and cheaper, more effective and efficient for our clients. And more recently we've added more, acknowledging how we work with clients to leverage the benefits of artificial intelligence for them to achieve more. We would have a unified brand to eliminate silos and provide integrated services to clients. The company grew via acquisition with MediaMonks and MightyHive being the initial cornerstone deals, giving us a firm foundation in our service offering, a burgeoning global presence and a strong client base, particularly in the technology sector. We expanded via M&A with a series of mergers to broaden the service offering, client portfolio, geographical coverage and talent. We also experienced rapid organic growth, with new business wins such as BMW and Mondelez and the expansion of our existing relationships. Digital marketing and the technology sector boomed in the post-COVID recovery, fuelling our progress and top-line growth continued to be strong in 2020, 2021 and 2022. By the end of 2021, starting with nothing in 2018, we'd announced 27 acquisitions, had grown to nearly 6,000 employees. We then moved to 2022, which was a watershed moment for the company. Whilst client and revenue growth continued, and we were pleased with that, we encountered two challenges. First, we needed to catch up on implementing internal processes, systems, policies, and controls. And second, our staff numbers and costs had grown disproportionately faster than revenue and negatively impacted our margin that year. Early in 2022, we experienced an audit issue around deferred revenue which delayed the publication of our FY 2021 numbers, impacted our share price and dented investor confidence. Whilst the audit issue was disappointing and ultimately not material, we had anticipated the need to tighten up internal controls and processes the year before. And Mary joined as Group CFO at the start of 2022. We rapidly addressed the issues, building a group finance team appropriate for the size and ambitions of the group, adding expertise and PLC experience, and putting in place robust processes and documentation for revenue recognition under IFRS15. Colin Day also joined as Chair of the Audit and Risk Committee in August 2022, bringing a wealth of experience. In the last three years, we've had no other issues of this kind, and all results have been released on time and unqualified. Our auditors, PWC, have recognized the continued evolution of our finance function alongside legal and governance improvements. Now, in 2025, thanks to Mary and her team's work, we have group functions appropriate for a FTSE 250 company and a solid track record on reporting. Strong internal controls and a well-established internal audit function. A well-functioning integrated finance team which is focused on further improving forecasting and business support, automation, including the implementation of a global ERP, and cash management and working capital. In recent years, we've had some challenges which have impacted both our growth and margins. We entered 2023 anticipating further growth and had hired aggressively in 2022, impacting our margin, to service existing clients and prepare for another strong year of growth. Unexpectedly, the tech companies pull back aggressively in 2023, with significant redundancies and cost cutting addressing their over-expansion post-COVID. Mark Zuckerberg referred to this as Meta's year of efficiency and others followed suit. Sales and marketing expenditures were reduced across the board, having historically posted strong double-digit growth. For example, Meta's spend was down 21% in 2023 and their margin increased from 25% in 2022 to 35% in 2023 with their share price surging almost 200%. This approach to cost discipline continued in 2024, driven by their strategy to significantly invest in CapEx, primarily hardware and software related to artificial intelligence. In 2024, the hyperscalers Google, Meta, Amazon and Microsoft increased CapEx investment 56% to almost $250 billion. This meant further pressure on operating and marketing budgets in 2024, with Google and Meta both down and Amazon flat. This affected our competitors too, but given we have almost 50% of our revenues in technology, it's had an outsized impact on our ability to grow. The content relationship with Mondelez ended in 2023, and in 2024, First American, a tech services client, has seen very significant pressure in their business, given higher interest rates and as a result decided to ramp down in in-house the work streams they had with us. High interest rates and general economic uncertainty led to client caution which impacted our project-based business, especially our ability to win new remits locally. We paused our M&A strategy in 2022 after 30 plus transactions in five years, the scale of which posed some challenges for us from an integration perspective and a need to focus internally. With declining revenues, despite cuts and cost controls, our staff cost ratios are in the high 70% versus an industry average at 65%. And the challenges we've had with our revenue trajectory have made it difficult to align costs with revenues. Whilst 2024 continued to be a challenging year from a growth perspective, we spent the year addressing these issues to rebuild our foundations for growth. First, the pace of tech client spend cuts has slowed. The cuts I mentioned earlier have stabilized with the declines in sales and marketing expenditures moderating towards the end of 2024. And whilst the companies do not provide forward guidance on sales and marketing expenditure, most analysts project it will return to moderate growth in 2025 as they start to invest in differentiation for their AI products in a highly competitive market and illustrate some ROI on their CapEx investments. That said, the hyperscalers continue to invest heavily in CapEx this year. Second, we continue to innovate our products, launching our artificial intelligence platform, Monks.Flow at CES in January 2024. Over the course of the year, we brought on board partners, implemented it with existing clients such as Google, BMW, SC Johnson, and Amazon, and developed a specific AI-focused sales pipeline. More of that from Henry later. The [WAPA] (ph) client losses are mostly out of our comparables, and we have had a stronger pipeline and new business performance recently, especially with the win of GM, which will scale into a top three client in 2025 and an expansion of our existing Amazon remit. From an integration perspective, the mergers are now all fully integrated and we go to market as a single brand, Monks. We've centralized key functions such as finance, legal, HR and IT and the company operates on the same platforms such as Slack, Salesforce, Workday and Google Workspace. Our migration to a single ERP is well underway and will be completed in early 2026. We've simplified the business around marketing and technology services. We have a clearly articulated organisational structure based around geographical leadership and capability expertise. In 2024, we made several senior hires across country, regional management, capabilities, growth and client leadership, all of whom are now driving new business wins. Also, JB joined us in 2024 as the S4 Chief Operating Officer to focus on the optimization of pricing, utilization, billability and improving our margins and getting our staff cost ratios in line. And I'll now hand over to him for an update.
Jean-Benoit Bertie: Thank you, Scott. Hello, everyone. As part of our continued push for further simplification and standardization, we launched in the second half of -- sorry, we launched in the second half of 2024, an operational excellence program centered around three pillars with a specific objective for each. One, growth, having greater predictability of our revenue forecast resulting in more effective recruitment, resourcing and investment. Two, productivity, getting more efficient use of our talent pool and technology, such as AI, to deliver higher net revenue per head. And three, profitability, achieving smarter pricing, live project performance tracking, and tighter cost control to deliver higher EBITDA. We are specifically addressing five key operational areas impacting primarily productivity and profitability. One, we are adjusting our non-billable versus billable head counts. Two, making our billable people more billable. Three, driving down our delivery cost to be more competitive by improving our mix of offshore versus near and offshore which is not yet maximised. Fourth, reducing our overruns which is running too much across our accounts portfolio by either over-servicing or not charging for additional work we do. And fifth, addressing too many accounts that are below the profitability threshold, especially the long tail. As a result, we are working on improving two key metrics. One, personal cost as a percentage of net revenue. And two, net revenue per head. We stabilised both metrics in 2024 and we will continue to improve on both of them and others in 2025. And we feel that we are on the right path. Back to you.
Scott Spirit: Thanks, JB. So we have a very strong talent base with a good mix of entrepreneurial leadership from our various mergers, balanced with strong industry hires from technology, marketing and consulting backgrounds. We have simplified our structure around a marketing and tech services practices and we have a client-centric approach which will return us to growth. We have a very compelling client list with some of the world's leading and most innovative companies. Nine of them are what we call WAPAs, that's revenues of $20 million plus, which is a differentiator for a company of our scale. Most of our direct competitors have a much more fragmented client list with smaller relationships and a longer tail. As you can see we continue to be skewed towards the tech industry but recent wins such as GM, which should scale to a top three client in 2025, are slightly changing that profile. These are strong relationships that help us attract and retain talent to work on them. The continued softness we're seeing in technology client spend and the First American decline in our tech services practice have had a negative effect on the average revenue size of our top 10, 20 and 50 clients. This is primarily driven by reductions in spend rather than any loss in business. So as we enter 2025 and build our three-year plan, we are stabilizing the business and focused on reinvigorating our growth plans. We have a clear go-to-market strategy which leverages our service capabilities and is underpinned by our expertise in data and technology Our first offering is around brand relevance and the challenge that clients are facing is that it's a cluttered world and how do they keep their brands relevant and current and build their brand power in the market. For this, our go-to-market is called real-time brands where we bring the best of our social experience and brand capability to bear. The principle here is that with our creativity, social-era brands approach, combined with the power of data, we can be constantly adapting brand messaging to leverage and contribute to culture. Or put more simply, we see creativity as inspiring through an ongoing and live conversation with people, not something that is finished and shipped as a campaign in traditional formats. We work in real time at the same speed as consumers to help our clients' brands be more relevant and strong. Second challenge clients are facing is complexity. They say that it's all just too complex and feel like they're falling behind due to distraction. When their agency model is unwieldy and fragmented, it increases cost, reduces spend and quality and distracts their teams. For this, our go-to-market is the orchestration partner model, where Monks are the trusted partner to significantly reduce the complexity and cost of the agency ecosystem. With an open source model that allows clients to plug in ideas from us or from elsewhere, but with our AI super powered workflow suite Monks.Flow, we make sure the right message gets to the right audience in the right channel faster and cheaper. This is the go-to-market for which GM appointed us in June last year and this was a disruptive moment for the industry with the replacement of a traditional holding company model with Monks and some creative hot shops. We believe there'll be more of this to come. The third challenge is around media efficiency. Clients say I need the best -- I need to best manage marketing costs and the number one line item in that is media. I'm concerned that I'm wasting spend and that my agency is not recommending what's best for me but what's best for them. This will be a big focus for clients in 2025, not only because of economic pressure, but because of increased demands for transparency from the media market. Our solution for this is Glassbox Media, where we've fully transparent media operations with AI tools that help clients directly observe and manage their investments due to our deep relationships with the platforms like Google, Meta, Amazon, and others. In a black box world, we're taking a Glassbox approach. The final challenge is around legacy operating and marketing models. Clients say I need to work in a faster, better, cheaper way but we're beholden to legacy ways of working and technology debt without dated systems and processes. So we help clients address this through digital business transformation. Our technology services and consulting practice enable transformation in clients via data optimization and management, tech stack integration, digital consumer experiences, cloud migration, AI, automation, and other aspects of harnessing technology innovation. Our growth strategy is based around growing, keeping, and getting clients. Each of our major clients has a playbook developed with the growth team to identify and pursue organic opportunities, be they geographical or capability expansion. Sales strategies led by product leaders have been developed for each of the go-to-markets I just discussed. We have engaged and are working with pitch consultants to help clarify our positioning and access larger RFP processes. At a recent ad forum event we were rated second out of 18 agencies participating and received strong feedback on our capabilities. Monks have always had strong partnerships with tech companies, given their also major client relationships for us. We go to market alongside the likes of Google, Amazon, Nvidia and Adobe to provide services alongside their products and technologies. And finally, we're driving a conscious effort to increase our pipeline, pitch larger opportunities, and diversify our client portfolio. We have a healthy pipeline and are pitching major opportunities in auto, telecom, pharma, and FMCG. Google is our largest client, worth over GBP100 million annually, and we have a team of over 750 Monks in 30 markets, working with almost 70 different Google teams and programs. We create content and B2B marketing for Google advertising, helping them convert advertisers. We help YouTube drive viewership via social media campaigns. We produce performance advertising for brands like Pixel and Chromebook to help them sell more hardware. We even help them design and bring to life their presence at CES. We're also one of the two agencies working for Google on their media planning and buying and innovation. They're the ninth largest advertiser in the world, spending almost $9 billion a year. Google are also an extremely valuable partner for us. We provide services around their key products, such as Google Marketing Platform, Google Cloud, and Gemini. Our new business performance has improved as the pipeline gets healthier and the most recent example of this at scale is General Motors. In July we were awarded the role of foundational agency across all four of their brands where we will be responsible for producing all their marketing content, bringing them simplicity, consistency, scale and efficiencies via the use of technology and AI with Monks.Flow. When announcing the appointment the client made it clear that our technical capabilities were at the heart of our offer and differentiated us. The account is ramping up brand by brand and will reach full scale later this year. It'll be a top three client for us. And we've also picked up assignments in Australia and China. And I'll now hand you over to Henry, our Chief Innovation Officer to update us on AI.
Henry Cowling: Thank you, Scott. Good morning, good afternoon, everybody. I'm going to start by showing you our latest work and then I'll tell you how it was made, why we did it and what we think it means for our business and for the industry at large? We could play the tape. [Video Presentation] Thank you. So the question we often get is, where did you use AI in this commercial? And the answer is, of course, everywhere. This film was made with AI agents, not just the visuals but the actual creative idea, the script and then every subsequent step in the production process. It is a system that comprises dozens of AI agents, each grounded in different data sets, working together sometimes collaboratively and sometimes adversarially to get the best results. We call this intelligence as infrastructure. And we believe that systems like this will become the backbone of every major marketing organization as they learn to adopt and unlock the value of AI. We built this to showcase our technology partnership with Nvidia, and we have some important announcements about that, which I'll come to shortly. This particular system leverages Nvidia, NIMs, Cosmos and Omniverse solutions. So to break it down, in short, creative agents wrote concepts for the film and copywriter agents develope the script and the visuals were created -- sorry, and visual agents created the storyboards. Art director agents built out the cinematic photographic style, and then the product photography uses digital twins. The motion is a result of agents using Cosmos and Runway, another leading AI film solution. But we didn't do all of this just to create one film. Because of Monks.Flow, the proprietary AI platform that we launched a year ago, what we've made here is the ability for a brand to create tens, hundreds, thousands of pieces of content tailored to different audiences and channels grounded in different data sets, driving business growth. And these are not just lower funnel assets. We are moving clients from agencies to agents across the funnel, all the way up to the big idea and there'll be more about this at [Canlion] (ph) later this year. So let's be real, this kind of innovation is causing friction in our industry. What you're seeing here is just a selection of the blowback our Puma work has received from traditional agencies in our industry. Frankly, they hate it. They hate it because they know it's here to radically change their way of working. Now, we can debate the ethics of AI all you want, but the economics of AI are irrefutable. We believe every client in the world will have to buy or build systems like the one I've just described, and they will need disruptive, innovative partners like Monks to be successful. So to meet this demand, we've launched our Nvidia Foundry and Agentic AI Advisory Group in partnership with Nvidia designed to bring this kind of innovation into every major marketing organization. 18 months ago in this forum we said AI will change the economics of advertising and we committed to being fast and first in the new game. I believe our innovations, like the one I just shared with you, are living up to that promise. AI drove our biggest wins in 2024 and continues to be a growth service line for us. Thank you very much. I will hand it now back to Sir Martin for the summary.
Martin Sorrell: Thanks very much, Henry, and thanks Scott and JB and Mary. So just a summary and outlook. Full year results were in line -- actually ahead of expectations with improved margin and a significant improvement in liquidity and net debt. Net revenue was about GBP755 million, at 13.6% down reported and 11% like-for-like, and that reflected lower spending on marketing, principally from technology clients who are investing significantly in AI capacity. In other words, investing in CapEx rather than OpEx, such as marketing activity, and as well as the reduction to the -- with one large tech services client, First American. We saw continued caution against the challenging global macroeconomic background and indeed high interest rates, as well as some underperformance when compared to our addressable markets. Our costs continued to be tightly controlled, and the number of Monks at the year-end was around 7,200, 7,150 to be precise, down 7% -- approximately 7% from 7,700 at the end of December 2023. Our operational EBITDA at almost GBP88 million, a margin was under a margin of 11.6%. And as a result of all that, principally the increase in liquidity and as a gesture of confidence in the business for the future, the board is proposing to pay a final dividend for the first time of 1 pence per share. Net debt at year end was about GBP143 million, which implied leverage of about 1.6 times debt to EBITDA. That's below the lower end or at the lower end of our guidance, which was 1.5 times to 2 times, you remember, between GBP150 million and GBP190 million, and reflected a strong focus on working capital and in the cost control. For 2025, we're indicating, guiding, that net revenue and operational EBITDA will be expected to be broadly similar to the levels of 2024 with difficult comparatives in the first quarter and they expect an improvement in performance in the second half, aided by the phasing of new business. For example, General Motors will come fully on stream at the end of the first quarter, the beginning of the second quarter of this year. The 2025 net debt target range, as I said before, was GBP150 million to GBP190 million last year. We're taking down now to GBP100 million to GBP140 million. And as Scott mentioned, we've rebranded to Monks across the whole business and now streamlining into two practices, marketing services consisting of content and data and digital media and then technology services, not just the marketing function, but an enterprise too. We continue, as Henry has pointed out, to capitalize on our prominent AI positioning, and that's driving new business with wins such as General Motors and expansion of relationships such as Amazon and we remain confident in our talent, confident in our business model, in our strategy, and the scale client relationships position, a position that's very well for above industry growth in the longer term, with an emphasis on improving productivity through optimizing utilization and billability. So to sum up, at 2024, on the plus side, we did see significant improvement in the profitability of content and data and digital media and improvement in margins in both cases. Tech services suffered through the pullback on one client in particular, but that will begin to cycle out fully as we get into the second quarter and second half of this year. So with that as background, operator, if there are any questions, we're happy to answer them. Sometimes on this call, we don't get a lot of questions, if any. So if you could just check whether there are any outstanding questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from [Eddie Aria of ARINI] (ph). Your line is open. Please go ahead.
Unidentified Analyst: Hi. Good afternoon. Can you hear me okay?
Martin Sorrell: Yes, [indiscernible] you're fine.
Unidentified Analyst: Great, thank you. My first question is just around the contract wind down or revenue wind down from the First American. I totally understood that will roll off H1, but if we just wanted to kind of look through the performance of the business in H1 excluding that. What was the kind of contribution to H1 2024 from that? So that if we can model that coming out then any difference would be other parts of the business.
Martin Sorrell: Yes. Mary do you want to respond to that?
Mary Basterfield: Yeah, of course. Thank you for the question. So when we look at the impact of this large client in technology services on 2024 for the group, it's responsible for around half of the decline we saw in the year. As we look at 2025, we will have a residual comp through Q1 decreasing, but still there in Q2. And then when we get to the end of the first half of 2025 we will be clear of that.
Unidentified Analyst: And sorry, is that half of the decline on revenue and EBITDA or was it more outsized on either front?
Mary Basterfield: No, the comments I've given are based on net revenue.
Unidentified Analyst: Okay. Got it. And then my other question was just, I know, obviously, you've covered a lot about the use of AI and how you try and differentiate versus peers, but one question I had, as you develop these kind of Monks.Flow offerings and the industry shifts to a more AI driven approach where hopefully you kind of have a better right to win is it's just that -- I know you've optimized the way your staff work in the organization by reducing the number of Monks, but the scale at which AI seems to be able to generate content is kind of hundredfold. We talk about millions of images and content being produced in a programmatic fashion versus more labor intensive methods. So it's just -- can we expect your cost -- where does that mean, what does that mean for the cost base and personnel base in the future? Is it something that you can now do with 3,000 employees and just trying to get a sense of how much more efficiency can be driven.
Martin Sorrell: Okay. I think it depends on what we're talking about. If we're talking about the production of ads, what you might call visualization and copywriting, which involves copywriters and art directors, I think there will be fewer of them for the reasons that you suggested. Because it will take less time. Agencies tend to charge on the basis of time and procurement departments will say it's taking you less time therefore you should charge us less. So I think there will be compression there in terms of the number of people. I mean, improved efficiency, but compression. The second area which you sort of touched on is personalization at scale. That's an area where we're starting to charge on the basis of assets -- asset prices. And whilst, to your point about the scale, the price per asset has come down, the number of assets used has increased exponentially, and the multiple of the two would generate more revenue. And I think actually there'll be more opportunities for engagement and employment. The third area, media planning and buying. We think we're a disruptor in all these areas, to the heart of your point. And in the case of media planning and buying, the industry employs probably around 200,000 to 250,000 people. And we don't think there will be that number of people in the industry in say three years’ time. Whilst it's true, we touched on this on this morning's call that IPG and Omnicom have got together because they're talking about scale being important, proprietary or principal buying being important. I mean, undisclosed pricing being important. We think that in an increasingly digital world, digital is already 70% of the $1 trillion, $700 billion of the $1 trillion that clients spent, for example, last year. We think that in environment, brain power is more important than scale and muscle. And we think that proprietary trading will come under pressure as we've seen in India this week with the raids on the major media planning buying operations, what we saw in China in case of WPP and the inquiries there. And indeed, some of the historic stuff in the US, we think with the tech news technologies, with Blockchain, Quantum, AI and similar technologies, what you're going to see is more transparency. So for all those reasons, we think media planning and buying offers an enormous opportunity. We manage about, I think, including the links that we influence about $8 billion, which is not huge in the context of the industry or what the holding companies do, but it is important in terms of we run an open book with the exception of one market, Brazil, we run an open book and a transparent book, so out charging fees, so we think there's a huge opportunity there. In the other two areas that we talk about non-AI, general efficiency. There probably are opportunities for client and agency. There are probably opportunities one way and the other. There'll be some reduction in employment and some increase. And then the final area, what we call democratization of knowledge, that is breaking down the silos inside companies, inside agencies by disseminating knowledge, that probably is actually net-net, and opportunities to increase the number of people. So if you look at it overall, those are the sort of five areas so far that are impacting us, the first two visualization, copywriting, personalization being the most important…
Unidentified Analyst: That's really helpful.
Martin Sorrell: You've got effects both ways actually. If you push me on it, I would say there will be fewer people in the industry as a result of AI. But it was interesting, we're having a conversation today that with the declining population, when you think about it sort of globally, maybe it's a technology for the times.
Unidentified Analyst: That's really helpful. My only follow-up, and I'll jump back in the queue after that, is just -- so far as -- and forgive my basic understanding, but when you talk about personalization and scale and charging on the basis of asset prices. Could you just explain that? How were you charging before and what would be an asset that you charge a number of assets going up?
Martin Sorrell: Yes, Scott, do you want to talk a little bit about that?
Scott Spirit: Yes, I mean, historically the model's been a very people-based model, so it's based -- there's a scope of work with the client. You agree between yourself and the client how many people would need to deliver that scope of work. And then it's a sort of cost plus approach to pricing. That's still very prevalent in the industry and even in AI sort of driven clients there's usually a core team and procurement want to negotiate the rates for that core team on that basis, but then when it comes to scaled production for personalization at scale, then you're really putting a rate card together for assets and charging based on those assets, so it's less of an input, people is less of an input. And I think also on your general point, whilst it might put -- I think there's a -- we certainly believe and have these conversations with Wes and Henry quite regularly that this will put pressure on the addressable market as a whole from a revenue perspective. I think there's no doubt. Most of the -- I don't think any of the holding companies have admitted that, but I think that that would be our view of where the industry is going. I think there's a benefit to us being a disruptor and being a smaller company and more agile and more focused on AI, I think, to use this as a prospecting tool and use it to drive new business growth for us where the business model is changing potentially in our favor versus that people-based approach where I think the big holding companies kind of have to stick to that model when they have hundreds of thousands of employees.
Unidentified Analyst: What's an example of a digital asset? Sorry, just...
Scott Spirit: Just a piece of -- it could be anything. It could be a YouTube video [Technical Difficulty] it could be simply a photograph [Technical Difficulty] it could be an Instagram post, it could be anything.
Unidentified Analyst: Thank you.
Martin Sorrell: All right. Thanks for the [Multiple Speakers]
Operator: Thank you. There were no further questions in [Multiple Speakers] no further questions in queue. I will now hand it back to Sir Martin for closing remarks. Sorry.
Martin Sorrell: Thanks, operator. Thanks very much for joining us. We'll see you in a couple of months' time on Q1 2025. Thanks for joining us this afternoon. Thank you.